Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2012 Brady Corporation Earnings Conference Call. My name is Chequana, and I will be your coordinator for today. [Operator Instructions] I would now like to turn the presentation over to your host for today's call, Mr. Aaron Pearce, Vice President, Treasurer and Director of Investor Relations. Please proceed, sir. 
Aaron Pearce: Thanks, Chequana. A good morning, and welcome to our fiscal 2012 second quarter conference call. During the call this morning, you'll hear from Frank Jaehnert, Brady's CEO; and Tom Felmer, Brady's CFO; as well as our 3 regional Presidents, Matt Williamson, President of the Americas; Peter Sephton, EMEA President; and Stephen Millar, President of the Asia Pacific region. 
 As usual, after the prepared remarks by the team, we'll open up the call to questions. The slides for this morning's call are located on our website at www.bradycorp.com and then click on the Investor tab. 
 Please note that during this call, we may make comments about forward-looking information, words such as expect, believe, forecast and anticipate are a few examples of words identifying a forward-looking statement. It's important to note that forward-looking information is subject to various risk factors and uncertainties, which could significantly impact expected results. Risk factors were noted in our news release this morning, and in Brady's latest Form 10-K which was filed with the SEC in September 2011. Also, please note that is teleconference is copyrighted by Brady Corporation and there may be no rebroadcasting of this call without the consent of Brady. We will be recording this call and broadcasting it on the Internet. Your participation in the Q&A session will constitute your consent to being recorded.
 Thanks, and now I'd like to turn the call over to Frank Jaehnert. Frank? 
Frank Jaehnert: Thanks, Aaron, and good morning, and thank you for joining us. During the second quarter, the comparability of our financial statements to last year was impacted by certain events, including the noncash Asian goodwill impairment, outlined in our press release this morning. This impairment charges is a direct result of the challenges stemming from reduced sales volumes to one of our major mobile handset customers due to shift in end market shares and increased competition, primarily the mobile handset industry comprising gross profit margins. This impairment charge was noncash, and the impairment will not impact our future financial results. 
 Also in last year's second quarter, we sold our Teklynx software business at a gain. This onetime gain, combined unusually strong winter-related product sales in Europe last year, contributed to last year's second quarter representing a tough comparable. 
 The second quarter revenues decreased by 2.6% and we recorded a loss of $90 million this quarter, due to the noncash goodwill impairment charge of $115 million -- $115.7 million. If you exclude the impairment charge and the restructuring charges incurred in this last year's second quarter, diluted EPS increased 2.1%, given with a very tough comparable from the prior year. We experienced organic revenue growth of 2.9% in the Americas, while organic revenues were down 5.7% in Europe and 4.4% in the Asia Pacific region. 
 Going forward, we are focused on improving operating results in Asia and we are in the process of splitting our Asia business into 2 dedicated teams, 1 team focused on our die-cut business and the focused on our MRO and identification businesses. This change will help increase our focus on both businesses as we work to accelerate the growth and profitability of both our businesses. While we are cautiously optimistic with U.S. economy, we remain concerned about the European economy. That in mind, we believe we have to create our growth story independent from the overall sluggishness of the world economy. We will be focusing our MSU on several growth initiatives. First, expanding our business in emerging geographies. Second, expanding globally in certain focus markets. Third, new product development. Fourth, customer conversion. And five, Digital business. On Digital business, I've asked our Chief Information Officer, Bentley Curran, to coordinate the transition of Brady into a digital business. Bentley Curran will assume the role of Vice President, Digital business, in addition to his current role of CIO. In this role, Bentley will oversee our global digital strategy to drive further growth in this critical area. 
 I believe that growth strategy we are pursuing in combination with acquisitions and disciplined cost control is a recipe for our success. Lastly, we will continue to return funds to our shareholders through dividends, which have increased for the last 26 years, a streak that we have no intention to break. Now I'd like to turn the call over Tom Felmer for our second quarter financial review. Tom? 
Thomas Felmer: Thank you, Frank, and good morning, everyone. As Frank mentioned, there are few notable items that impacted our financial results in the second quarter of fiscal 2012, which I've summarized for you on Slide #3. First, we recorded a $115.7 million, or $2.21 per diluted share, noncash impairment charge this quarter related to our Asian business. This impairment charge does not impact our future operating results and does not change the outlook for our outlook for Asia, as we continue to focus on improving all aspects of this business and are in the process of the strategic realignment that Frank just mentioned. This noncash impairment charge is a direct result of the gross margin compression, primarily due to the sales decline of one of our largest customers, combined with the impacts from the highly competitive landscape in our Asian mobile handset die-cut business.
 Second, revenues were down at our Thai facility due the recent floods, decreasing diluted earnings per share by approximately $0.04. Lastly, in this page, our second quarter financial results benefited from a reduction in variable compensation due primarily to the decrease of net income caused by the impact of the noncash goodwill impairment charge and a reduction in our full year -- full fiscal 2012 forecast.
 Moving on to Slide 4, is the summary of our second quarter financial results. As Frank just mentioned, sales were down 2.6% in the quarter with organic sales declining 1.8%. Our second quarter gross profit margins finished at 47.8%. The main driver for our decline in gross profit margin relates to our Asian segment, where we took on lower margin sales opportunities in an effort to offset volume declines at one of our largest mobile handset customers in order to keep our factories fully utilize. Margins throughout the rest of the business were up slightly compared to last year. 
 Net income, excluding the impairment and restructuring charges, was flat at $25.7 million in the second quarter of fiscal 2011 and fiscal 2012. Diluted earnings per share was up 2.1% compared with the prior year to finish at $0.49 per share in the second quarter, excluding the noncash impairment and restructuring charges. 
 Lastly on this slide, our cash balance remains strong at $380 million as of January 31, and our net debt position is nearly 0.
 Moving to Slide 5. We summarized our guidance for fiscal 2012. We have reduced our full year EPS guidance range from $2.30 to $2.50 per share down to $2.20 to $2.40 per diluted share excluding after-tax restructuring charges and excluding the onetime noncash goodwill impairment charge that I just mentioned. The reason for the decrease in our guidance is threefold. First, the strengthening of the U.S. dollar against numerous other currencies, including the euro, has contributed to a reduction in the full year financial results. Second, the weak macro economy has dampened our full year outlook in the European region. And lastly, the weak financial results in our mobile handset business in Asia has led us to reduce our F '12 earnings per share guidance. 
 We anticipate low single digit organic growth sales in the Americas and Asia, and flat organic sales in Europe for the balance of the year. Our guidance reflects the full year income tax rates. The rate in the mid 20% range and is based on current foreign currency exchange rates. We also expect capital expenditures of approximately $25 million, depreciation and amortization of between $40 million and $45 million and free cash flow equal to approximately 100% to 120% of net income. 
 Let's move on to Slide #6, which is a summary of our quarterly sales trend. Our fiscal 2012 second quarter sales were $320.6 million. The second quarter is typically our lowest sales quarter of the year, and this year's decline is exacerbated by the strengthening U.S. dollar and certain comparability items, including a loss of approximately $4 million of revenue due to the Thai flood, a $5 million reduction in revenue related to the timing of Chinese New Year falling in Q3 last year versus falling in the second quarter this year, and a $5 million reduction in revenues compared with last year's strong winter-related product sales in Europe.
 Organic sales were down 1.8% in the quarter. Divestitures, net of acquisitions, reduced sales by 0.4 of 1% in the quarter, and the impact of foreign currency exchange rates decreased sales by another 0.4 of 1% when compared to the second quarter of fiscal 2011.
 Moving on to Slide #7, you can see the trending of our gross profit margins. We continue to focus on driving gross profit margin improvements through BBPS, lean and strategic sourcing. However, during the second half of last year and the first half of this year, Asia-Pacific segment profit gross margin declined because of heightened competition, thus reducing our overall gross profit margin percentage. I would also like to point out that, however, that the combined gross profit margin in Europe and the Americas remains strong and is slightly ahead of last year.
 Turning to SG&A. In the second quarter SG&A as a percent of sales was 32.7% compared to 32.8% in the second quarter last year. For comparability purposes, if the gain on the sale of the Technics business was excluded from last year's second quarter, SG&A and the reduced variable compensation was removed from this year's SG&A, we would've seen a 30 basis point increase in SG&A as a percentage of sales of 34.1% in the current quarter compared with 33.8% in the prior year.
 As we've discussed in previous calls, we remain focused on driving down SG&A expenses as a percent of sales through increasing the effectiveness of our sales force, as well as reducing general administrative expenses. This is balanced against investments needed and for growth initiatives. Historically, our third quarter is our highest SG&A quarter as we ramp up mailing campaigns and other growth initiatives that require funding. As such, we expect our SG&A levels to increase in absolute dollars from Q2 to Q3.
 It's also worth noting that our restructuring program, so far this year, has been less material than last year, and we did not separately breakout restructuring charges in this quarter. Instead, all restructuring-related charges have been included in SG&A expenses.
 On Slide #8, net income include or excluding the impairment and restructuring charges, was effectively flat at $25.7 million in both the second quarter of fiscal '11 and fiscal '12. Diluted EPS, excluding the impairment and restructuring charges, was up 2.1% to $0.49 per share compared to $0.48 per share last year. 
 On Slide #7, we summarize our cash position and cash generation. In the second quarter, cash balance walk [ph]. The key items to point out during the quarter are that we generated $28 million of cash from operating activities, invested $5.3 million in capital expenditures and returned $9.8 million for our shareholders in the form of dividends. All resulting in ending cash balance on January 31 of $380 million.
 On Slide #10, you can see that our balance sheet is strong and continues to get stronger every quarter. With our current cash balance and our recently extended and expanded $300 million line of credit, we believe that our conservative leverage profile provides us adequate flexibility to support future organic and inorganic growth opportunities, as well as continue our practice of annually increasing dividends.
 Moving on to Slide #11. Our R&D investments continue to deliver a stream of innovations focused on solving the challenges of our customers in key markets. On the electrical and Datacom market in Asia, we launched a new printing system, the BMP91. This printing system is the first printer designed solely for the unique needs of the Asian market. Having the right suite of products is critical to our future success as we expand our MRO and other identification businesses in the Asia -Pacific region. 
 In the Americas, we launched 2 new lines of durable materials for the industrial safety and facility identification market and the lab and healthcare market: ToughJet,, durable inkjet media adhesive sheets, and the B-7425 laboratory labels. We see a continued steady stream of new product launches over the foreseeable future, as we have numerous projects in progress. 
 I'd now like to turn the call over to Matt Williamson to start our regional reviews. Matt? 
Matthew Williamson: Thank you, Tom, and good morning, everyone. Please refer to Slide #12. Sales in the Americas in the second quarter were $138.4 million, up 1.8% compared to the second quarter of fiscal 2011. Organic sales grew 2.9%, currency reduced sales by 0.7%, and the sales of our Teklynx software business reduced sales by 0.4%. Brady Brand business in the U.S. was our stronger -- strongest performer as it grew nicely in the quarter. Our relentless pursuit of improving our customers' buying experience, combined with a continual loss of proprietary new products and an excellent sales and distribution, enable us to take market share. In the November, we launched the BMP53 printing system, portable printer for electrical and data communications applications. This product offers customers a hassle-free experience and the ability to make labels directly from their mobile phone, a first in our industry. We also launched the BMP51 printer last week to a very positive reviews from our North American sales team. Additionally, we launched several new materials in the quarter. One example, ToughJet, is a unique to the market, high-performance material that can be run through any inkjet printer for a variety of safety facility on labeling applications. And as Tom mentioned, we also launched a new Specimen Identification Label further expanding our lab and healthcare material offerings. 
 Our Brady Brand business in Brazil grew nicely in the quarter as well. This was driven by strong demand for our custom OEM products, as well as several operational activities undergone to increase production capacity. 
 Our Direct Marketing businesses are now also showing growth in the U.S., and our commitment to multichannel sales strategies have begun to yield results. In addition to our direct mail campaigns, we are focusing our -- are focused on increasing traffic and sales over the Internet and improving the productivity of our expanded outbound telesales teams in the U.S., Canada and Manila. Execution of the these strategies will grow our customer files and improve every aspect of our customers' experience with us, leading to improved customer conversion and loyalty. 
 Our People ID business experienced mixed growth results as projects were slower than anticipated in what is also a normally the slowest season of their year. Our overall strategy to improve our Internet traffic and sales continues to yield positive results as we are experiencing double-digit e-business growth in both our Direct Marketing and Brady businesses. 
 Segment profit in the Americas increased 15.4% to $35.8 million in the quarter. As a percent of sales, segment profit was 25.9% compared to 22.8% in the prior year second quarter. Profitability is being driven by a combination of an improved gross margin in the region due to selective price increases that went into effect in the beginning of this year, along with the results of an ongoing benefits from lean, strategic sourcing, improved plant safety and other plant operations, plus actions to improve our selling expense structure. Today, our focus on selling expense relates to the productivity of in inside sales, field sales, inquiry management, optimizing our Internet results and improving the use of customer segmentation in all our businesses. These activities not only yield productivity improvements, but also result in improved customer service. 
 Looking to the remainder of fiscal '12, we are focused organic sales growth opportunities in our best customer segments and high-growth markets, continuing to improve the experience of customers doing business with us, driving Internet sales across all of our businesses, launching new differentiated products with the strong value proposition and increasing our digital and telemarketing efforts in our Direct Marketing businesses. While the global macro economy picture may be uncertain, the U.S. economy seems to have stabilized with a modest pace of recovery. When you combine this with our numbers initiatives, we anticipate the trend of low single digit organic growth to continue for the remainder of fiscal 2012. We continue to spend wisely, focused on things that directly impact our sales growth and operational improvements to ensure we maintain or grow our profit as a percent of sales. And I'll turn the time to Peter Sephton, who will report on EMEA results. Peter? 
Peter Sephton: Thank you, Matt, and good morning, everyone. I'll refer you now to Slide 13. Sales in EMEA were down 8.1% to $95.6 million. Organic sales were down 5.7% after last quarter's 3.7% organic growth. The majority of this decline is a direct result of the milder winter throughout Europe this year. If winter product sales had been a level consistent with fiscal 2011, our organic sales decline would've been 0.8% in the second quarter of fiscal '12. This small decline in our base business is a direct result of the depressed macroeconomic conditions we're seeing throughout the region as a slowdown was noticeable in all countries of the E.U. 27. But it does confirms some resilience in our core and ongoing businesses. While several organic sales declined, we noted important differences in organic sales rate changes between our various business stream. For instance, if we exclude the impact of the lack of winter product sales, our direct market businesses actually showed positive mid-single organic growth in Southern Europe and Germany, our 2 biggest units. Our Brady business also showed mix results, finishing the quarter with a modest decline in organic sales. Southern Europe and our Swedish die-cut business continue to struggle, while the rest of the Scandinavian and emerging markets of Central Europe and Turkey are showing solid growth. Our Brady business in the U.K. and France showed modest growth despite those accounts of both those countries declining in terms of manufacturing output. Paradoxically, our business in Germany, Europe's strongest economy, declined as our customers scaled back with the impending uncertainty. 
 To mitigate these macroeconomic risks, we are deploying our resources and expertise in emerging geographies where we see good opportunities for growth and are already gaining some traction in winning business in defined vertical markets such as oil and gas explosion and petrochemicals. In mature economies, we are diving a new product development more aggressively and we'll launch the BMP51 in the coming weeks. Further we'll launch our new BBP 333, our next-generation palm handheld printers, in the next few months as well. We've also implemented a price increase across all of our businesses, which we expect to contribute positively. And we're also aggressively driving quote conversion across all of our business streams to ensure that we maximize converting business away from our competition.
 Another example of our aggressive stance on winning new business is our commitment to allocate new customer acquisition investment to areas where we get the best response. For instance, our Direct Marketing business in Germany has increased it's a level of prospecting to win new customers and further build our house file, and the early results are positive. France, we're leveraging our product offer across all of our Direct Marketing as which includes Securimed, Seton, and Signals, and cross-selling with very positive results. A good example of this approach is seen in our 2010 acquisition of Securimed, with sales continue to grow at double-digit rates but also where we've unlocked a new market segment with medical products. 
 Our commitment to e-commerce as an opportunity to win new customers and service existing customers better is also ramping up. During the quarter, we brought to completion an integration of Internet brands under 1 common web platform and integrated a new system that enables us to cross market between multiple channels seamlessly. These are foundational moves that position us well as and when the economies of Europe recover and allow us to scale our offer into new geographies more quickly.
 Segment profit declined by 8.9% to $26.6 million in the quarter. The loss of profit from winter-related sales was a significant factor in this decline, together with the sale of Teklynx last year. These 2 factors account for all the decline of the segment profit versus the prior year. 
 With the underlying strength of our gross margin, which remains flat as a percentage from last year, we were able to keep segment profit high at 27.8% of sales, slightly down from 28% in the second quarter of fiscal 2011, as we found some compensation in lower selling expenses and we remain committed to driving down SG&A further. However, we firmly believe that our market position is sufficiently strong to invest in growth initiatives to mitigate the downsides in a weakening macro economy and to gain market share in existing markets served, grow in new geographies and maintain our investment in building expertise in certain vertical markets with good long-term prospects.
 We need, though, to be realistic, and in the near term, it will be challenging to generate or sales growth given the macroeconomic challenges. As such, looking forward to the remainder of fiscal 2012, and with the winter comparable behind us, we anticipate organic sales to be approximately flat when compared to the prior year. Consistent with Frank's comments, we are highly focused on organic sales opportunities including driving Internet sales across all of our businesses, driving new products sales, expanding our geographic reach deeper into Eastern Europe and Africa, as well as our ongoing focus on deeper penetration at the selective vertical markets. The economic sentiments in Europe, in general, is being pointing down for the past few quarters, and we are clearly feeling it right now in our sales volumes, albeit somewhat mixed across the region. However, on a like-for-like basis, our core businesses in Europe are showing some resilience to the Eurozone crisis and we'll continue to push hard to capitalize on this and mitigate the magnitude of these headwinds. I'll now pass it over to Asia Pacific with Stephen Millar. Over to you, Stephen. 
Stephen Millar: Thanks, Peter. Continuing on Slide 14. Sales in the Asia-Pacific region in the second quarter were $86.6 million, down 2.7% from the prior year. Organic sales were down 4.4%, and currency had a positive impact of 1.7%. Our focus on the Asia-Pacific region continues to be two-fold. Firstly, we are intent on improving profitability in our die-cut business. And secondly, we seek to expand our presence in our other portfolios of workplace safety and compliance, wire and cable identification and product identification. Let me take a moment to explain some of the changes we are in the process of making in our Asian business to drive this focus. We are in the process of splitting our North and South Asian businesses into 2 main teams. First, we will have a dedicated die-cut team in the region focusing exclusively on driving die-cut sales and increasing profitability, which has been our biggest soft spot in Asia. Our die-cut business represents just over half of our total Asia-Pacific sales, but a much smaller piece of our overall segment profit. Second, we will have a team dedicated to our MRO and Identification businesses. Our MRO business is largely our portfolio of products which help customers with workplace safety and compliance and our identification businesses, which would include our traditional label and wire identification product lines. All in, our identification and MRO businesses in North and South Asia represent about 1/4 of their overall apex sales. We've talked about the significant growth opportunities for our MRO products, and this realignment is a natural next step in our maturity as we dedicated a team to accelerate our growth in this area. This business has now achieved a critical mass necessary for us to split it out and run it as a separate unit. Key markets such as China are maturing rapidly, and our strategy of strengthening and expanding our distribution network will provide increased channels to market for our full portfolio of unique differentiated products that suit these markets. 
 Our first product built for Asia, for Asian customers -- built in Asia for Asian customers, the BMP91, a portable continuous tubing printer for wiremarking was launched in January 2012, and this was a watershed moment for our Asian customers. As we move forward, we would be continuing the focus on products and industries that are relevant in these markets where much of our customers spend is more on infrastructure compared with our mature markets in North America or Western Europe where the significant spend in on true maintenance repair and operations. 
 The last piece of our APAC business is Australia, representing approximately 25% of our total Asian business. The changes that I just referred to will not impact how we manage our Australian business. 
 As we have been discussing since quarter 3 of fiscal 2011, we experienced lowers sales volumes from the one of the largest mobile handset customers when compared to the prior year. But we are quickly approaching the one year anniversary of when you first saw the noted decline in volumes. 
 The second quarter is seasonally our lowest growth quarter, and this year, the slowdown was magnified by Chinese New Year falling in quarter 2 versus quarter 3 last year, and by the decline in our sales to the hard disk drive industry due to the Thai floods. 
 If our sales in Thailand were at the level of last year and Chinese New Year landed in the second quarter, our regional organic growth would've been in the mid single digits. Our team in Thailand has done an outstanding job of relocating production and we are now shipping product and supporting our customers at our new facility. However, the industry has not yet returned to pre-flood levels due to problems throughout our customer supply chains. We anticipate some level of insurance recovery, however, we are not yet sure of the size or timing of such clients. We do anticipate that the impact of the Thai floods would be a headwind for the remainder of this year, but the impact will not be as great as we experienced in Q2. 
 The Thai floods have also delayed the sale of some new products which were undergoing qualification by our customers. As these products cannot be approved while we are operating in a temporary facility, it is possible that these new product delays could extent another 3 or 4 quarters. 
 Elsewhere in our die-cut business, we continue to execute our market growth strategies, which include aggressively increasing our sales to other mobile handset customers, display manufacturers and manufacturers of other computing devices, including tablet computers. Whilst the sales compensated for the changes we faced, this additional sales volume kind of reduce gross profit margins which had a negative impact on the overall regional gross profit margin. Segment profit was $7.7 million, down $3.8 million compared to last year's second quarter. As indicated in my previous comments, we have made a concerted effort to increase our customer base and compete for business to offset of decline in revenues to one of our largest customers. 
 Looking to the second half of fiscal 2012, we anticipate returning to low single-digit organic sales growth rates. At the same time, we are focusing on executing our strategies to improve profitability. As such, although we are cautious about the overall global economic health and the continued competitive pressures in our die-cut mobile handset business, we believe that the actions I explained above will result in improving profitability levels as we move throughout the remainder of this fiscal year and into next year. I'll now turn the call back to Frank. 
Frank Jaehnert: Thanks, Stephen. Before turning the call over to questions, let me just share my concluding thoughts. Even though our second quarter was challenged by a number of headwinds, including the impairment charge, the ongoing margin challenges in our Asian business and the flooding in Thailand, we are still able to increase our earnings per share. We are working on right items to drive growth, including accelerating our e-business initiatives, including the appointment of Bentley to lead our global digital strategy. We have also be launching some the best products in the history of our company as our investment in R&D are starting to pay dividends. Of course, we cannot count on the macro economy to drive our sales growth and we are executing our own growth strategy by investing in these organic growth opportunities. Additionally, we have a strong pipeline of acquisition candidates that we are actively pursuing. As Peter, Stephen and Matt articulated, we continue to aggressively focus on organic growth and we believe these opportunities, combined with holding expenses in check, will be a catalyst for net income improvements for the remainder of fiscal 2012 and beyond. We thank you for your interest in Brady, and now start that Q&A. Chequana, can you please provide instructions for our listeners? 
Operator: [Operator Instructions] Your first question comes of the line of Charlie Brady representing BMO Capital Markets. 
Charles Brady: According to them, on the handset sales, can you give us a sense of how much of Brady's total sales come from Nokia today? And then what are your expectations for sales into them for the remainder of the year? As far as continuing to decline, give me a firm number, but expecting to decline, expecting to level out at the current levels? 
Frank Jaehnert: Okay, Charlie, great. Thanks for the question. And obviously, I can't tell the details of their absolute sales are, but we have been seeing sequential increase with them and we expect to see that. Obviously, we're coming out now the tough comparable period so we expect to see that. But that sequentially, the big question still with within is really how well their Windows phones bite and what demand is. But at this stage, I'm comfortable saying we expect to see some sequential continued growth. That's best part I put it. 
Charles Brady: Okay. And then, can you guys talk about your expectations for gross margin in the second half of this year in terms of relative to where it was in the first half? Do you expect it to be flat up, down? 
Thomas Felmer: Charlie, this is Tom. We would expect, I guess, a modest increase in gross margin, however -- although I don't know if it'll be material. We've been running a pretty good, pretty consistent rate for the last year. And I think what you will see though is maybe improvement over the last and we should see some improvement in the Asian margins. 
Frank Jaehnert: Typically, in our second quarter of the year -- second half of the year, doesn't have so many holidays. Second quarter is typically a lot of more challenged across the margin because sales is lower due to Thanksgiving, New Year in this year, and also Chinese New Year. 
Charles Brady: And one more on the EMEA, what was the price increase that went through? And then can you give us a sense of how much emerging markets are of EMEA today? 
Peter Sephton: Yes. The price increase that run-throughs is between 2% and 3%. So part of that, we want to sustain all of that because it's spread across product lines. But I don't expect to sustain them to see some results may be just 1%. But our gross margin has been holding up pretty well so it might mitigate any cost increases that we've got coming through. So it depends on how that plays out in terms of cost versus margin. In terms of emerging markets, most of the emerging market business we have is against the Brady business, Charlie. It's -- we are already accessed in mature economies in our Direct Marketing business. A little bit of business in Scandinavia, we really can't define that as emerging, but most of our businesses in Turkey, Central Europe and in Africa is down to Brady. And that's been increasing really quite nicely. It accounts for about -- let me defer that. As Frank, do you want to disclose that number? I got the number on hand. 
Frank Jaehnert: Yes, if you have the number, I have no problems with disclosing it. 
Peter Sephton: Yes. 16%. 
Charles Brady: 16%? 
Peter Sephton: 16%. 
Operator: Your next question comes of the line of Anthony Kure representing KeyBanc. 
Anthony Kure: I guess this question is for you Frank. That the 2 teams in Asia now, is this segmentation intended to be the maybe first step in the shift in the strategy as it relates to future growth of our die-cut business? 
Frank Jaehnert: As you know, our first priority is to improve profitability, sales growth and profitability of our die-cut business because that were we have had some problems and in the past, we, of course, our die-cut business is by far the largest portion, and we always had strategy to grow the MRO and identification business over time. But we were leveraging the infrastructure of our die-cut management and in factories, and so forth, to support the smaller business MRO and identification systems. And they have now reached a critical mass, and I think we've talked about this earlier, about 25% of our business is now in Asia, excluding Australia, is now in these MRO and identification systems that we think they can stand on their own -- on their own leadership. And I think even more importantly, we want to make sure that die-cut has 1 leader, has everything they need to operate independently and focused under 1 leader. So we're going to have a dedicated plants for die-cut. We're going to have phase marketing, manufacturing, purchasing, everything you need, very focused under 1 leader. I think it will really help us to focus and streamline this business and help us grow sales and profit. 
Anthony Kure: Okay. So you mentioned the sort of the different departments now assigned just to the die-cut. I think you said manufacturing, does that mean there is going to be separate manufacturing facilities now? 
Frank Jaehnert: Yes, right now, we have shared facilities. But we think here because the business is so different from our other businesses. Because we have now critical mass in the other businesses, we think we can all have dedicated plants. 
Anthony Kure: Okay, could you guys maybe comment on trends by region for the January, demand trends? 
Frank Jaehnert: Of January? 
Anthony Kure: Yes, please. 
Frank Jaehnert: Let me take -- let me try to answer this. First of all, we had our Chinese New Year -- I'll talk about Asia first. We had Chinese New Year in January and this year, and last year, was in the third quarter. So what we are seeing naturally is our Asia business doing relatively well compared to prior year because of Chinese New Year effect. So that's pretty encouraging, but we don't know how much of this is timing, but it's certainly encouraging. We see continued good business in the Americas which is an indication to us that the American economy, especially the U.S. economy, is improving moderately. Europe is more challenging. However, we are just in the beginning of the quarters, so it's too early to tell what we're going to see here. I would say no change so far in Europe. But this is only based in 2 weeks in February. 
Operator: And your next question comes the line of Jason Ursaner representing CJS Securities. 
Jason Ursaner: Just another question on the Asia segment. I understand the concerted effort to take a low margin business, but even when you look through the customer use currently, is the long-term strategy to move up the value chain there still viable or are markets just being commoditized too quickly? 
Frank Jaehnert: The answer is yes to both of those. We are still investing in new product development to move up the value chain. So I referred to as -- we had the hard disk drive industry and the mobile handset industry I referred to some products which are actively in our development process for hard disk drive, we were obviously disappointed we couldn't qualify them as quickly as we'd like because of the situation we having to relocate our Thai facility. Outside of that, in the mobile handset there are certain areas we're we are still focusing on new proprietary products. We think, we have some technologies and capabilities that can continue to move us up the value chain. At the same time do their part of that industry which appear to be more and more commoditized. So, we are balancing the 2 here. The moving up the value chain has been an important part of our strategy and continues to be part of our strategy, but at the same time, we don't want to walk away from mass-market so try to manage that side of things as well to keep in the game. 
Jason Ursaner: And the timeline to achieve some of it, I mean is it really getting to the next design cycle or are there products in -- I understand the hard disk drive market you can qualify them, but in the mobile side other products already in where you just need to gain traction on the actual device? 
Frank Jaehnert: So the areas of development we're doing are more technology application platform rather than product specific. So we're developing a capability that we would be able to apply materials across multiple products as they come in. The product life cycles are relatively short here, so we don't look at mobile handset and say we will develop something as unique and specific for the next X, Y, Z that's going to come. We develop a capability that we can apply across multiple models. 
Thomas Felmer: Multiple industries. Not just mobile handsets... 
Frank Jaehnert: Multiple industries. No, it's a platform development basis is what we trying to achieve. 
Jason Ursaner: Just a quick question for Peter. What type of trends did you see month-to-month? I'm trying to understand why the commentary is pretty downbeat. I understand the macro concerns in Europe, but excluding the winter bundles, core growth was almost flat. Germany has showed expectations growing in January, so I'm just wondering what you're seeing maybe underlying there? 
Peter Sephton: Yes, I mean, it's very much my sentiment and I'll give you a little bit of my spin on it. In fact, towards the end of the quarter in January, direct marketing sales were already quite strong so you saw some pick up there, but Germany continue to be a struggle for us. We haven't mentioned this, but we had a blistering quarter in our Brady offices in Germany last year in fiscal '11 in quarter 2, and that was the Brady offer in Europe but that was driven by Germany it a bit of tough comparable. And I do think your sentiment is right, I do think they could be some pick up in Germany. My concern would be what happens then the rest of Europe, and particularly in France, I guess that's where my caution comes from. France has been relatively, relative to many of the other Euro 27, really quite reasonable, but I wonder if we will see some slowing. And there's been some early signs that we have seen a little bit of slowdown there must where my caution comes from. I think we seen the worst of it in that U.K. 
Frank Jaehnert: And I think the other caution there, Peter, in general, in that we read everyday in the news about Europe, Europe is slowing down and the uncertainty about the financial situation in Greece and so forth. There's always in our sentiments, we'll see how this plays out, but there's certainly nervousness in Europe. And Peter said earlier, that Germany might have maybe not as strong as we hope. And typically, in Germany, they're reacting very fast to perceptions or to feelings about the economy. This could turnaround, of course, tomorrow. But we just want to be cautious because this is in contrast to Americas where I would characterize as being cautious cautiously optimistic because everything we have seen, also in our Direct Marketing business, to be lax, is going the right direction. So I would say we are cautiously optimistic about the Americas and we are just cautious about Europe. 
Operator: Next question comes from the line of Joe Mondillo representing Sidoti & Company. 
Joseph Mondillo: First question, do you guys mentioned, I think both in the Americas and in Europe, how Internet sales have been. You guys have been benefiting from the higher profitability of Internet sales increasing. Could you talk about that a little more and if you could quantify how much that is benefiting your profitability and as a percent of COGS, where is that and where do you see that in a couple of years? 
Frank Jaehnert: I don't remember that we have made ever made a comment that our Internet sales is less or more profitable than our other businesses. So I'm not sure where you heard this, maybe somebody, an analysts speculated about this. Because we have not made this statement on this call. 
Joseph Mondillo: I thought you mentioned it in your prepared remarks? 
Frank Jaehnert: Okay, maybe you're misunderstanding. Okay. 
Joseph Mondillo: Okay, let me ask you this, are your Internet sales more profitable than your direct sales? 
Frank Jaehnert: We do not comment on this. 
Frank Jaehnert: Maybe, what we can do -- we can ask Bentley, in his new role which is effective today, to maybe give a quick overview of what we're going to do and why we are so excited about transforming Brady into Digital business. I think it only gives you some idea -- I don't look at the digital, not so much as a cost reduction move, but as a means to differentiate ourselves from competition to provide the ultimate customer experience, make it easier to do business with us, and hopefully, support our organic growth, but I like I'd let Bentley speak. 
Bentley Curran: Yes thanks for the question. This is Bentley. If you look at our direct marketing business, we've seen some pretty good growth within our Internet sales. And we've also seen our traffic, not only just for the Internet websites, but also our mobile traffic is increasing. So we see this as an opportunity to better align our resources and actually take these capabilities and apply these other businesses so we can get that traction in our Direct Marketing business as well. So going forward, we're going to be focusing our energies on making sure we can accelerate the adoption and the capabilities that we have within our company that we're seeing some good results with to the other businesses to get this company growing in the areas that we want to. So right now, we're seeing some great opportunities. 
Joseph Mondillo: Okay, great. Second question, this has to do with the Asian segment. Gross margin, I think you mentioned that you expect that to improve or what is your outlook for the second half. I assume that it is looking to improve, and is that more of a volume-driven improvement or is there pricing associated with that as well? 
Stephen Millar: So Joe, there's 3 things are going to drive this. We do expect to see sequential improvement from Q2 to Q3. We normally get this coming out of, as Frank had mentioned, more holidays and not so much in China, but for the rest of Asia. And then of course this year we had Chinese New Year at the end of Q2. And there's quite a volume, a fixed cost absorption business from there. So February, quarter 3 will be strong as more sales picking up on that. And then, as you would expect, we continue to have initiatives aimed at improving gross margin from the perspective of pricing initiatives, but also operational efficiencies. And we're working on all of those think, so we expect to see those sequential increase in Q2, Q3 and the second half and a bit in the first half. 
Frank Jaehnert: And another point is we had mentioned before that our mobile handset business is probably the most challenged from a competitive point of view and from margin pressure point of view. And of course, our hard disk drive business has been depressed because of the flood in Thailand. But as Stephen said earlier, this is improving every month now. So as this business comes back online, this should also help our gross margins for Asian in totality. And he also mentioned that our largest customer, sequentially has been improving. And this should also help. 
Joseph Mondillo: Okay, great. Two more questions, just in terms of capacity utilization, what do you guys sort of seeing yourselves running at in terms of utilization? And then lastly, if you could talk about your use of cash and what they're primarily uses of cash is? 
Frank Jaehnert: I can try the first part of the question, capacity utilization and Tom can take the second part our should I say, utilization of cash. We have capacity and it's not so much because of reduced sales, it's because of all the lean initiatives we have taken. We have -- we do not see our capital expenditure go up materially over the next 1 or 2 years, of course, it all depends on how fast business is going to come back. But we have found ways to utilize our machinery equipment much better so if the economy continues to improve, even if it goes up 10%, 15%, we should have no problems across the company much, there'll be bottlenecks in one or another area, but we shouldn't have any problems as we continue to grow our lean across the whole organization. There has been a major improvement, and we have commented about this, we don't think there's going to be major capital expenditure for expansion. If we have capital expenditure then it is for improvement in quality, productivity and efficiency, tolerance and so forth, but not to improve capacity. And in the Asia-Pacific, specifically Asia, we are pretty full in Asia on a seasonal sales basis because we have been able to replace some of the businesses we lost with some other businesses, which typically, are lower-priced and higher volume. So our volume actually in Asia is up, whereas our sales is about flat. So good utilization in Asia. 
Joseph Mondillo: What about specifically in Europe? 
Frank Jaehnert: Peter, do you want to talk about this in Europe? Furthermore, we don't manufacture in Europe as much as we manufacture in Asia. 
Peter Sephton: I think I got lost in that and what was the question again? 
Frank Jaehnert: Peter, I started answering the question, but the question was, how about capacity utilization in Europe. And I started by saying that in Europe we don't manufacture as much as we manufacture in the Americas or in Asia. We source much more from third parties and also from Americas and from Asia to Europe. So capacity utilization in Europe is not such a big issue. But if anything else you want to add, Peter?. 
Peter Sephton: It’s not. But that's actually in our 2 major manufacturing plants, 1 in Germany and 1 in Belgium, our capacity utilization is very high. We have some small manufacturing in Italy which is a result of a downturn in volumes a little bit of capacity there. But you're right, I mean it's not such a significant issue for us in Europe. 
Stephen Millar: Two biggest theaters of manufacturing is Asia and the Americas. Americas, of course is growing, which is good. That helps capacity, and Asia, we are pretty well utilized. 
Joseph Mondillo: And then Tom, if you could address use of cash, and that would be my last question. 
Thomas Felmer: Obviously, the best returns we get are when we invest in organic growth and keeping capital expenditures, investing CapEx. But we typically generate cash flow in excess of that. So the next number of items would be dividends, and as we've mentioned early in the call, we've increased our dividend 26 years in a row, and we expect to see that trend continue. And then the remaining options would be share repurchase, debt paydowns and acquisitions. We have made some repurchases of shares opportunistically as stock prices down. We've made a little bit in the first quarter, but nothing since then so it's not a major use. Debt reduction is something we've not had, most of our debt is private placement and its fixed term debt and we've not been paying that down at all. I guess that leaves acquisition I would say the primary focus for the available cash that we have on hand. Acquisitions remains an important part of our strategy. We continue to work hard to identify new opportunities, and we certainly hope to use that cash in acquisitions in the future. 
Operator: [Operator Instructions] And your next question comes the line of Benjamin Wong representing Bank of America Merrill Lynch. 
Benjamin Wong: Going back to Europe, when we consider the regions probably already been in a small recession for a couple of months already. I mean, this might suggest that we're seeing the early stages of this show up in your European business. So my question is, a, do you agree with this? And then B, how comfortable are you with your extradition of flat organic sales for the rest of the year in that segment? 
Peter Sephton: We are seeing it. I don't know if it's so much the early stage, depends on how long it goes on, but we're definitely seeing that. And the biggest, greatest we have for that is Germany. Such in the previous answer, there was a possibility that Germany might start to recover but I think there's start to move into other areas of the Euro 27. Now, in terms of coming into quarter 3 and the rest of the year, a lot these comparables go away, a lot of the really hard comparables, not just in terms of winter but the growth that we saw last year across all of our business streams, in fact, and again driven to some extent by Germany. This comparable is a little bit easier. So you know, as much foresight as we have, and that's pretty limited, it's a very uncertain outlook in Europe, that feel as Frank said, somewhat cautious about our forecast. And that's why we should work as we do. And it's going to be approximately flat with last year. More than that I can't say, and just repeat what I said before. I think there might be some upside for us in Germany. I think we've gone through the worst of it in the U.K., and the U.K. has been really struggling for the past couple of years. In fact, some of our business in the U.K., we have seen a return to growth from some heavy comparables and seen a return to growth. And it's what happened in France. France, if you saw the figures on the economy, more recently, it showed surprisingly robust growth. Will that continue? Let's see what happens in Greece. 
Benjamin Wong: Okay thanks Peter. It’s helpful. Second question is on Asia, can you elaborate more on the increasing competition in die-cut over there? Are your competitors doing anything differently or is there any change in behavior? 
Stephen Millar: I think Benjamin, it's just more of the entry of a lower-tier players who aren't significant, but they're nipping at the heels. It's like any industry I think where people see large volumes, it becomes attractive. And certainly, the mobile handset industry, I mean there's still 1.4 billion phones or whatever being made every year, and so it's very attractive to people who want to be in there. We've seen the competition we're seeing, there are some established players who we have known for a while and there's some who have been around but have made a concerted conservative effort to buy their way into some business. So I think it's the normal hurly-burly you see in the market but it's becoming a bit more aggressive because of the attractiveness of the market. 
Operator: At this time, there are further audio questions. I would now like to turn the call back to Mr. Aaron Pearce for closing remarks. 
Aaron Pearce: We thank you for your participation today. And as a reminder, the audio and slides from this morning's call are available on our website at www.bradycorp.com. And the replay of this conference call will be available via the phone, beginning at 12:30 Central Time today. The phone number to access the call is 1 (888) 286-8010, or international callers can dial (617) 801-6888. And the passcode is 81678765, and a phone replay will be available until February 23. As always, if you have any questions, please contact us. Thank you, and have a great day. Operator, can you please disconnect the call? 
Operator: Yes, sir. Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect, and have a great day.